Operator: Good day, and welcome to Symantec's Fourth Quarter 2015 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos - Vice President-Investor Relations: Good afternoon and thank you for joining our call to discuss fourth quarter and fiscal year 2015 earnings results. By now you should have had the opportunity to review our earnings release and supplemental information. We've also posted a presentation that complements our prepared remarks. If you have not reviewed these documents, you can find them on the Investor Relations Events page. A copy of today's prepared remarks will be available on the website after our call is completed. Speakers on today's call are Mike Brown, Symantec's President and CEO; and Thomas Seifert, Executive Vice President and CFO. This is a live call that will be available for a replay via webcast on our website. I'd like to remind everyone that all references to financial metrics are non-GAAP, unless otherwise stated. Implied billings refer to revenue plus change in sequential deferred revenue and we include a trended history of this metric in our supplemental information. Also, we provide year-over-year constant currency growth rates in our prepared remarks, except for statements about net income and EPS. For fiscal year 2016, year-over-year growth rates exclude the impact of the extra week in the year-ago June 2014 quarter and adjust for foreign currency. I would like to take this opportunity to highlight a few dates for you. Thomas will be presenting at the JPMorgan Conference on May 19 and Mike will be presenting at the Bank of America Merrill Lynch Conference on June 3. We intend to announce our first quarter earnings on August 6. Please note non-GAAP financial measures referenced during this call are reconciled to their comparable GAAP financial measure in the press release and supplemental materials posted on our website. Lastly, today's call contains forward-looking statements based on the environment as we currently see it. Those statements are based on current beliefs, assumptions, and expectations, speaks only as of the current date and, as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to the cautionary statement in our press release for more information. You'll also find a detailed discussion of our risk factors in our filings with the SEC and, in particular, in our Annual Report on Form 10-K for the year ended March 28, 2014. And now, I'd like to introduce our CEO, Mr. Mike Brown. Go ahead Mike.
Michael A. Brown - President, Chief Executive Officer & Director: Thank you, Helyn, and good afternoon. Fiscal 2015 was a transformative year for Symantec as we improved our profitability and laid the foundation for future growth. We focused on returning to growth and right-sizing our cost structure, achieved our profitability targets, and returned significant cash to shareholders while preparing for the separation. We increased our R&D spending and shifted R&D dollars to focus on growth areas, delivering 41 Enterprise Security products and 17 Veritas products in fiscal 2015. In the March quarter, Symantec achieved revenue growth for the first time in three quarters. Our confidence that this momentum will continue is underscored by leading indicators such as implied billings and deferred revenue. For the full year, implied billings increased 4% and grew in every quarter. In addition, deferred revenue grew 1% for the year and posted two consecutive quarters of growth. Now, let's review some key highlights for each segment starting with Information Management. Exponential data growth continues due to the increased use of mobile, virtualization, and hybrid cloud technology. These trends are creating opportunity for Veritas. At Veritas, we continue to make progress on our plan to accelerate growth and expand operating margin. Veritas returned to growth in fiscal 2015 with revenue up 4% year-over-year and expanding operating margin from Q1 to Q4. We continue to build momentum in this business with four consecutive quarters of accelerating year-over-year revenue growth to 6% in the fourth quarter, up from 5% in the third quarter. Enterprise backup continues to be the largest growth driver for Veritas. NetBackup Appliance grew 46% in fiscal 2015, accelerating to 88% in the fourth quarter. This success was driven by the recent launch of our NetBackup 5330 appliance, which more than doubled the capacity of the prior model, giving us the ability to expand into larger enterprise environments. As an example, in the March quarter, we signed a $6 million appliances deal with a major telco provider based on our backup appliances' ease of use and lower total cost of ownership. While our appliance is the fastest growing in the market, we've only penetrated 10% of our installed base. Our NetBackup software also grew above market, achieving growth of 11% in fiscal 2015. Additionally, we saw strength in our Archiving and eDiscovery products with Enterprise Vault growing 5% and eDiscovery accelerating its growth to 11% in the fourth quarter. We expect our momentum to continue in fiscal 2016, driven by increased R&D investment which is leading to new releases in every one of our foundational enterprise products as well as next-generation solutions, which expand our addressable market and provide new capabilities such as information orchestration, IT resiliency, and information map. Moving to our Consumer Security segment. During fiscal 2015, we expanded our Consumer Security operating margin to 53% by streamlining our operations through business simplification and cost reduction. In fiscal 2016, we expect to maintain our Norton operating margin between 52% and 54%. The Norton organization is also focused on key initiatives to mitigate revenue declines while maintaining our current profitability, which include increasing customer acquisition by refining our marketing messaging and optimizing our pricing for our premium service offering; migrating existing consumers from an annual renewal to our subscription offering; boosting retention by improving the user experience throughout the customer lifecycle, including informing customers where Norton has blocked high profile threats; and lastly, expanding distribution channels through telcos and other service providers. Moving to our Enterprise Security segment. The increasing complexity of threats, the scarcity of cyber security talent, and the need for actionable intelligent security solutions are driving opportunities in our Enterprise Security business. During fiscal 2015, we've returned Endpoint Protection to market growth, continued to take share in Data Loss Prevention, established a strong presence in Incident Response Services, and reallocated investments to growth areas such as Threat Protection, Information Protection, and Cyber Security Services. And to better protect Symantec customers, we operate the largest civilian cyber intelligence threat network in the world, updated at a rate of 200,000 threats per second. This is the foundation for Symantec's Unified Security analytics platform. In fiscal 2015, we experienced a strong resurgence in Endpoint Security, which grew 5% during the full year and accelerated to 6% growth in the fourth quarter, driven by increasing awareness of attacks on the endpoint where most unencrypted data resides. Our Data Loss Prevention, or DLP offering, also experienced above-market growth of 14% in fiscal 2015 and is the undisputed leader in the market with double the share of the next largest competitor. DLP growth accelerated to 33% in the fourth quarter as we expanded DLP into cloud deployments, such as Office 365. Another important part of our Enterprise Security business is Trust Services. We were the world's largest SSL certificate authentication provider with 44% market share. Trust Services had a record year, reporting the highest revenue in its history, growing 4% in fiscal 2015 and driven primarily by our enterprise offering that solves for a comprehensive set of website security challenges. Our Cyber Security Services also showed strong momentum in fiscal 2015. We now have one of the broadest service offerings in the industry, covering the full attack lifecycle from before, during, and after a breach. Our Incident Response Service has engaged over 120 customers since its launch just a year ago. We expanded both the breadth and depth of our services by launching new Incident Response Retainer and Simulation services. The Retainer service, which launched in mid-February, is already off to a strong start, signing up major global brands and government clients in multiple regions in the first few weeks of availability. In the area of Advanced Threat Protection, we have now entered the ATP market, which is growing at 40% per year. Earlier this month, we shipped the first two of our Advanced Threat Protection solutions, the ATP: Network appliance and ATP: Email. By early fall, we will deliver our ATP: Endpoint offering. Our key ATP solution has two key differentiators: one, integration of the Endpoint, Email, and Network control points and our ability to gather, correlate, and analyze data across all three; and two, it leverages the combined intelligence of our Unified Security analytics platform. In conclusion, we're confident that the momentum we've established in fiscal 2015 sets a strong foundation for future growth and improving profitability in fiscal 2016. As we outlined at Financial Analyst Day, we expect Veritas to grow 4% to 7% in fiscal 2016 and significantly expand operating margin to between 27% and 29% by growing our core portfolio and offering differentiated next-generation information availability and insight solutions that address an expanded market opportunity. In Consumer Security, we expect to maintain operating margins of 52% to 54% while executing on our initiatives to mitigate Norton's revenue decline to down 5% to 8% in fiscal 2016. In Enterprise Security, we will leverage our global scale and unique assets to drive differentiated offerings in Threat Protection, Information Protection, Cyber Security Services and Unified Security analytics to accelerate revenue growth to between 1% and 6% in fiscal 2016. Now, I'll turn it over to Thomas to provide a review of our fourth quarter financial results and guidance for our fiscal first quarter. Thomas?
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Thank you, Mike, and good afternoon. Through increased focus, we are returning to growth, right-sizing the cost structure, and improving our profitability. We also returned more than $900 million to shareholders through share repurchases and dividends. All of this was accomplished in the midst of executing the Veritas separation. Implied billings grew 4% in fiscal year 2015 compared to the 8% decline in fiscal year 2014. Deferred revenue grew 1% to $3.7 billion compared to the 6% decline in fiscal year 2014, giving us confidence in our growth trajectory. We reported non-GAAP operating margin of 27.3% for the year. We are pleased with this progress and the momentum as we enter fiscal year 2016. Now let me provide some details on the fourth quarter financial results. We delivered non-GAAP revenue of $1.55 billion, within our guided range. The U.S. dollar continued to appreciate significantly against major currencies, which created a headwind of $111 million to our fourth quarter revenue and $292 million to deferred revenue on a year-over-year basis. Our implied billings were up 2% year-over-year, now the fourth consecutive quarter of growth, and deferred revenue grew for the second consecutive quarter. License revenue continued its positive trend from last quarter, growing 10% year-over-year driven by appliances and DLP. The number of larger deals greater than $300,000 and larger than $1 million increased 35% and 82%, respectively. We saw particular strength in banking, government, and telecom. Moving now to our business segments, Information Management revenue increased 6% to $619 million. NetBackup Appliances and software generated an impressive double-digit year-over-year growth. Strength in enterprise backup was offset by continued weakness in Backup Exec and Storage Management. Non-GAAP operating margin for the IM segment increased by 120 basis points year-over-year. We drove non-GAAP operating margin for the Consumer Security segment to 55%, up 610 basis points year-over-year and 285 basis points sequentially. We accomplished this through continuing to reduce complexity in the business, streamlining product offerings, and optimizing marketing spend. As expected, non-GAAP revenue declined 7% to $438 million due to the exit of OEM and retail channel arrangements. Enterprise Security revenue was flat year-over-year at $491 million driven by double-digit growth in DLP and growth of 67% in Endpoint Protection. This growth was offset by weakness in Endpoint Management. Non-GAAP operating margin for the Enterprise Security segment was 10% compared to 15% in the year-ago period, driven by the stronger U.S. dollar and increased R&D investments. Non-GAAP gross margin decreased 100 basis points to 82.7%, primarily due to substantial growth in our appliance business. Non-GAAP operating margin for the fourth quarter was 25.6%, negatively affected by a true-up of $11 million to defined benefit plans primarily in our EMEA region and an $8 million impact due to the strengthening of the U.S. dollar compared to our guided rate. Excluding these items, operating margin for the quarter would have been within the guided range. We incurred restructuring costs of $61 million and separation costs of $43 million during the March quarter. In fiscal year 2016, we expect to incur restructuring costs between $56 million to $86 million and separation costs between $89 million to $109 million. Non-GAAP net income of $299 million resulted in fully diluted earnings per share of $0.43, down 10% year-over-year. The true-up of the defined benefit plan reduced EPS by roughly a $0.01 per share. Now turning to cash flow and capital allocation. Cash flow from operating activities for the March quarter totaled $488 million, bringing cash flow for the year to $1.3 billion, up 2% from fiscal 2014, driven primarily by the increase in deferred revenue. Capital expenditures were $81 million, up 5% year-over-year as we continue to build out our IT infrastructure. We returned $227 million to shareholders during the March quarter via share repurchases and dividends, $102 million was in the form of cash dividends and $125 million was used to repurchase 4.9 million shares at an average share price of $25.55. We have $1.2 billion remaining under the current stock repurchase authorization as of April 3, 2015. Now I'd like to briefly review our revenue and efficiency initiatives. Overall, these initiatives exceeded fiscal 2015 targets, delivering over $150 million in incremental operational profit. Let me highlight several significant achievements. The renewal team exceeded its targets and improved renewal rates. The license compliance team accelerated its audit activity and beat its full year targets. Our pricing optimization efforts resulted in a significant improvement in price realization and optimizing the Norton business and streamlining product support delivered cost savings and operating margin improvements. These initiatives continue to realize incremental benefits throughout the business and we are now tracking at a run rate of roughly $250 million in incremental operating profit into fiscal 2016. Before I review our guidance, I'd like to briefly discuss the separation of the Veritas and the Security businesses. In April, we completed an important milestone with the separation of the two sales forces. We are on track to separate Veritas as a standalone company on January 2, 2016. Operationally, we'll be two separate companies on October 3, 2015. We expect to file the Form 10 in August, which will provide you with more details on the business and Veritas carve-out financials. Now I would like to reiterate guidance for fiscal 2016, which we previously provided at our Financial Analyst Day. For fiscal 2016, revenue is expected to be between $6.21 billion to $6.35 billion, representing year-over-year growth of 0% to 2% after adjusting for the extra week and foreign currency. Operating margin is expected to be between 29% and 30%, resulting in EPS in the range of $1.80 to $1.90. Our guidance for the year assumes an exchange rate of $1.13. We expect cash flow from operations to grow 12% in fiscal 2016. For the June 2015 quarter, our guidance assumes an exchange rate of $1.10. It's important to note that the year-ago June 2014 quarter included an extra week and the revenue for that extra week was $113 million, which we are excluding from our year-over-year calculations of growth rates. We expect revenue to be between $1.5 billion to $1.54 billion, representing growth of 1% year-over-year at the midpoint. We expect operating margin to be between 27% and 28%, representing expansion of 685 basis points year-over-year at the midpoint and resulting in an EPS in the range of $0.41 to $0.44. Typically, our June revenue is down sequentially 1% to 2% on an as-supported basis. Our June 2015 revenue our guidance reflects normal seasonality. In conclusion, I'm pleased with all the progress the team has made in fiscal 2015 and I'm excited about our growth prospects. And with that, I'll turn it over to Helyn to begin taking your questions.
Helyn Corcos - Vice President-Investor Relations: Thank you. Operator, will you please begin polling for questions.
Operator: Thank you.
Helyn Corcos - Vice President-Investor Relations: We're ready for our first question, Gwen.
Operator: And we'll take our first question from Brad Zelnick with Jefferies.
Brad Zelnick - Jefferies LLC: Thank you very much. My first question for Thomas, and I've got a follow up as well. Thomas, it actually goes back to the full-year guidance that you reiterated today and you initially give us last month. For operating cash flow, you've guided cash flow to grow 12% year-on-year. But if I look at that relative to your non-GAAP EPS guidance – you've actually guided non-GAAP EPS down a couple of percent. And I think it would even be a bit worse than that if we added the restructuring in which is excluded from your non-GAAP guidance. Can you bridge for us the delta between those two? Thanks.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yeah, that's a good question. So, cash flow a year-ago was $1.3 billion if you add the 12% that we guide; on top of that, you end up with about $1.5 billion. There are three moving parts you have to keep in mind, of course restructuring costs. But that is actually a benefit for fiscal year 2016. Our restructuring costs in fiscal year 2015 were about $206 million and we forecast the restructuring and separation costs at the midpoint of $150 million, so it's about $50 million to $60 million lighter. We expect on top of that continued operational improvements and an increase in deferred revenue. And that would deliver the delta and explains the $200 million improvement year-over-year.
Brad Zelnick - Jefferies LLC: That's actually very helpful. And my follow up also on the full-year guidance. You've maintained the full year, that hasn't changed since that, but it seems Q1 is a bit below consensus estimates at least, and I think you touched on this in your prepared remarks. But can you just help us to appreciate the factors unique to Q1 this year and how they impact seasonality?
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yes. Good question. So, on the revenue side, there are a couple of moving parts. We try to be transparent at Analyst Day on how those come together. But the comparison revenue for the first quarter a year ago is about $1.735 billion. There's an extra week included in that number of about $113 million and that revenue was delivered at an exchange rate of $1.37 so that is another $117 million impact that you would have to correct for. And that would make the comparable revenue number about $1.505 billion. So we guided revenue for this quarter, for the – in the range of $1.5 to billion $1.54 billion. So, at the midpoint of $1.52 billion, that would be a year-over-year growth of 1%. So the math is a little bit tricky, but I think it shows that the momentum that we have been talking about is continuing. Unfortunately, there's some headwinds in difficult compares, but the trajectory is in the right direction.
Brad Zelnick - Jefferies LLC: Very helpful. Thanks again.
Operator: And we'll go next to Michael Turits with Raymond James.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. A fundamental question – thanks for all that clarity on both cash flow and FX, really helpful. The increase – the acceleration in endpoint, can you drill down a little bit on where that's come from? I mean, generally we again obviously think of this as a mature market. What's taking place there that's accelerating? And are you not seeing any of the former headwinds moves to three types of enterprise offerings?
Michael A. Brown - President, Chief Executive Officer & Director: I'm not sure about the last part of your question. I mean nothing moves to...
Michael Turits - Raymond James & Associates, Inc.: Three types of enterprise offerings. In other words, I mean specifically...
Michael A. Brown - President, Chief Executive Officer & Director: Oh.
Michael Turits - Raymond James & Associates, Inc.: (24:58) embedded.
Michael A. Brown - President, Chief Executive Officer & Director: No, I guess we're not seeing impact there. I would say that – and there's been some things that have been written about, there's a resurgence of interest in the endpoint because, of course, that's where a lot of attacks get through; that's where a lot of the unencrypted data is, for example. So I think we're seeing increased awareness that that's a very important part of the whole Enterprise Security infrastructure that needs to be protected. But I would also say that we're significantly seeing increase in the DLP business because more and more workloads are moving to the cloud. So I think both of those trends are key for us: increased interest in the endpoint, which is allowing us to accelerate the growth of our SEP product as we talked about, that accelerated its growth in Q4 up to 6% year-over-year; and then DLP which through the growth of workloads in the cloud is actually accelerated 33% year-over-year in the quarter.
Michael Turits - Raymond James & Associates, Inc.: Okay. And then just for Thomas. On that first quarter, the currency impact, just as we back into it, it looks particularly strong relative to the decline in the euro that you're using in your international exposure. It looks like a stronger impact on a relative basis than what we saw this quarter. Is there anything in terms of the mix that would cause that?
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: No, except how the product mix and the regional mix is working out. At this point, there are no special or extraordinary influences on how the numbers came together.
Michael Turits - Raymond James & Associates, Inc.: Okay, great. Thanks very much.
Operator: We'll go next to Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Hi. Thanks. Thomas, I'm wondering if you could talk about – you mentioned the $250 million of incremental operating margin that sort of the run – sounded like that was a run rate that you'll realize in 2016. I'm wondering if you could just help us understand how much of that is a delta versus what you realized in 2015? Just clarify that comment, just trying to figure out what to do with that number.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yeah, so if you look at the margin for the whole year, we accelerate from 27.3% in fiscal year 2015 to a range of 29% to 30%. So if you look at the percentage increase is, I would say about half of that improvement really in margin structure is – actually it's a little bit more than half of it is driven by cost structure improvement and the efficiency momentum that we take with us.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Okay. And in that – and that is – the $250 million is that piece?
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yes.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Okay. And then just a product question, I guess kind of a revenue product question. It sounds like backup, archiving, backup appliances all doing very well. Those are the – I guess as we see in your business, those are the biggest parts of the Veritas business. Can you talk about where you're still seeing a drag in that business? And have any of those drags become more significant to offset some of that accelerated momentum in the backup and archiving area?
Michael A. Brown - President, Chief Executive Officer & Director: Yeah, Walter, I think Backup Exec is the drag on the business at this point. And as we've talked about – now, I should add, we introduced a new version of Backup Exec, Backup Exec 15. So we expect that will help moderate those declines. But overall, we expect more of our resources, or more of our resources have already been deployed to enterprise backup, because we feel that's where our real strength is. So I think the Backup Exec 15 will help us there in that market. But again, our focus is going to continue to be on the enterprise for Veritas.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): And that 11% growth is NetBackup? Not total backup?
Michael A. Brown - President, Chief Executive Officer & Director: That's correct.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Okay, great. Thank you very much.
Michael A. Brown - President, Chief Executive Officer & Director: I would just – I would also take a minute to add as we talked about, we are seeing strength in areas outside backup, too. So Enterprise Vault, our Archiving product, eDiscovery are also up pretty significantly. So we're seeing through some improvement in our sales execution and renewal rates. We're seeing the strength be broader than just backup.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Okay, great. Thank you.
Operator: We'll go next to Keith Weiss with Morgan Stanley.
Keith E. Weiss - Morgan Stanley & Co. LLC: Thanks a lot. Thank you for taking my questions, guys. Maybe to start with a follow-on to what Walter was asking. It seems like in the Enterprise Security business, you guys – there's some definitely key areas of strength, the endpoint business, which I believe is probably the largest part of the business is seeing growth, DLP's seeing strong growth. And we're hearing about some of the – seeing sort of drags on growth that we've heard for a while with Endpoint Management. It seemed like a similar dynamic going on in Information Management, where NetBackup's been doing well for a while, Backup Exec appears to be a drag. Are we starting to get to a point with either of those where it's just – just from a mix shift, just the base of those drags are getting smaller than the Endpoint Management business is getting to a point where it's small enough that it's just not going to exert as much of a negative influence on the overall segment on a go-forward basis?
Michael A. Brown - President, Chief Executive Officer & Director: Yeah, Keith, I think that's true. And we expect to see growth from more of our product line, a broader set of product families going forward. So as it relates to Endpoint Management, we're envisioning some capabilities as we continue to think about how do we refresh that product line. Endpoint Management will be able to provide mobile capability going forward. We're going be delivering that capability from the cloud. So we're not just leaving Endpoint Management to decline. We're going be investing in that area because we see some opportunity. To your question, we see not only strength in endpoint and DLP going forward but also ATP, our Advanced Threat Protection. Of course, we just introduced the first two parts of that three-pronged solution in this quarter, in the current quarter that we're in. And in fact, it was early May. But now we're going to add the third in the first half, which is endpoint that we think that's going to give us the strongest capability for Advanced Threat Protection that exists in the marketplace. I can be happy to talk about why we feel that way. Our Trust Services business now is bigger and continues to grow. And our Cyber Security Services, we're seeing business activity there that is quite strong that we feel confident will lead to revenue growth in FY 2016. So not only will the loss from Endpoint Management be smaller, as you point out, but strength from a broader cross-section of products FY 2016. One of the things we're enthused about too, if I can just add, Keith, is, of course, the dedicated sales focus. So this will be the first time – it just started this quarter where you've got dedicated sales forces, one for Security, one for Veritas. And on the Security side, we have 40% more quota-carrying reps in our sales force for Security. So I think that's going to help us frankly on both Veritas and Symantec sides.
Keith E. Weiss - Morgan Stanley & Co. LLC: Got it. And a follow up on that point. In terms of the APT solution, and I know it's pretty new to the market, but can you help us get a sense of what type of uplift you could see from the customer as they move from just what has been your traditional endpoint solution to start to adopt these endpoint technologies on top of that?
Michael A. Brown - President, Chief Executive Officer & Director: While, we think it could be pretty significant, what we don't know is how quickly we can realize that. Obviously, our installed base is key there. As you know, we have an installed base of over 100 million enterprise endpoints. So the combination of the Network, Email, and Endpoint product and the ability to look across those control points to prioritize the incidents which is the number one complaint we hear from security operations professionals is you're overwhelming us with alerts, we need some clarity about what is the most important things to focus on. So our solution is really going to give those professionals that capability. In addition, of course, we're going to be able to correlate what are we seeing with the threat intelligence base that Symantec has access to, that's clearly a strength where we will outshine the competitors. And added to that, we don't require you to install an expensive appliance, which, as you know, can be up to $0.5 million per appliance. So we're delivering the solution with virtual appliances from the cloud. So very cost effective. We believe the efficacy rate of what we're going be able to block is more significant and the productivity for the security analysts who are watching this information is going to be much higher.
Keith E. Weiss - Morgan Stanley & Co. LLC: Got it. If I can maybe sneak in one last one for Thomas perhaps. It looks like – I think it was another 670 heads (33:55) this quarter. Where are we in terms of sort of getting to a baseline? Are there more cuts to come on a going-forward basis or is this the majority of the reductions that we should be expecting and from here it's going to be more sort of this is the baseline Symantec, Veritas, and we'll be growing from here?
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Very fair question. We're not completely done yet. There will be some more work that needs to follow as part of the separation and setting up the right structures. So we will see some continued work in that direction. We also have been rather clear that that something that happens outside especially of the product group. So, on the R&D side, it's rather the opposite phenomenon, especially on the security side we're going to increase spend for development.
Keith E. Weiss - Morgan Stanley & Co. LLC: Excellent. Very helpful, guys. Thank you.
Michael A. Brown - President, Chief Executive Officer & Director: You could say that we're probably halfway to two-thirds through what we announced as a roughly 10% cut back in November.
Keith E. Weiss - Morgan Stanley & Co. LLC: Okay. Excellent.
Operator: We'll go next to Philip Winslow with Credit Suisse.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Hi, guys. Thanks guys for taking my question. Just wanted to double-click on the go-to-market here. Thomas and Mike, you both talked about improvements that you've seen on the renewals team and then the auditing side and also the split of the two sales forces. Just wondering if you could give us sort of an update on sort of – from your opinion, sort of where we stand of the go-to-market strategy, sort of the stability in it, any more changes coming in this fiscal year or is sort of everybody in that lane know what they do and what do you think that means to productivity?
Michael A. Brown - President, Chief Executive Officer & Director: Yeah, so I feel like we pretty much have made the changes that we need to make there. We were very clear to apply the learnings from several years ago. A good example of that is there was no fifth quarter to drain the pipeline that happened before we made that dramatic change in sales force, September 2013 if I remember the date right. So that was not the way we approached that this time. And, of course, you could argue that was a much more disruptive change in general because you're splitting new versus renewal so the skill set you could say that was required and whether we got that right could be questioned. So not that type of change. Some of the focus by business line had partially begun especially in the more mature markets, but now that's completed. We began the planning for this about six months ago. We named the sales leadership at the top level right around September, even though we were not able to publicly announce the separation at that time. We knew that announcement would be coming. And now we've had worldwide sales conferences for both Veritas and Symantec, which I think were very successful, where we not only got those folks together, everybody knows which lane they're playing in to use your language and what their quota is and territory, et cetera, their management, but also we're trained for very focused sales plays. If you look at the evolution of the product line from two years ago to today, it's much more streamlined in terms of where our focus is by product area, and we want to make sure that our sales force is capable of running the sales plays in these focused areas. And then the point that we just made a minute ago, we've increased the quota-carrying reps 20% on the Veritas side, 40% on the Symantec side. So many more quota-carrying reps, while we've actually reduced the overall sales head count. So we have a much more focused sales force not only in terms of product line but folks with a quota that they need to meet. I think we have made the key changes that we need to make. What we'll need to do from here is more of a fine-tuning nature.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Great. Thanks, guys.
Operator: We'll go next to Brent Thill with UBS.
Fatima Aslam Boolani - UBS Securities LLC: Hi. Good afternoon. Thank you for taking my question. This is Fatima Boolani on behalf of Brent. I was just wondering if you could spend a little bit of time talking about the 800 point delta sequential decline in Information Management segments. I know you touched on kind of the appliance shipment volumes being very strong but I'm just trying to better reconcile that.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yeah, so you mean the margin development for Veritas. I think we have been trying to be clear on this topic. It was driven, of course, by currency headwinds to a certain extent but also by the huge growth we have seen in the appliance segment. Mike talked about the year-over-year compare. So this has diluted the margins to a certain extent. And if we look now forward, we are quite confident that we can recover that for a variety of reasons. First of all, we will see margin improvement on the Veritas side just based on the higher revenue. We also see that the cost and deficiency momentum that Veritas is carrying is going to deliver significant improvement year-over-year. And the margin dilution effect of the appliances is becoming smaller with the shipment of the new products addressing a higher end market. And having, to be very honest, by itself significantly higher margin compared to the current version of appliances that we ship.
Fatima Aslam Boolani - UBS Securities LLC: And then maybe just along those lines we take a step back and take a look at the short- to medium-term gross margin profile. So as you expect a higher end SKUs to add to the mix but considering the focus and reinvestment on the cyber security and incident response side, I'm wondering if you can comment on what the gross margin trajectory would look like for the short- and medium-term.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yeah, I mean, just to remind, we finished the year with an operating margin of around 19% on the Veritas side, 53% for the Consumer business, and around 14% for Enterprise Security. Was your question about operating margin or gross margin?
Fatima Aslam Boolani - UBS Securities LLC: On gross margins.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yeah, let me comment on the operating margin first and then go back. So if you look at the Veritas business, that is going to expand, that is where we see a lot of improvement in fiscal year 2016. We're going to get that into a range of 27% to 29%. The Consumer business is going to stabilize around that number. And we rather outspoken that the margin for the ES business is going to come down slightly because of a higher R&D expenditure. So if you would translate that, especially on the Veritas side, into gross margin, we think the gross margin is going to improve with hopefully easier currency compares and a less dilutive effect of the new appliance margin, appliance product shipping into a larger market and a higher price market segment.
Michael A. Brown - President, Chief Executive Officer & Director: So the 5330, which we just began shipping, in fact, this most recent quarter we reported, it really reflects only about one month of shipment of the new 5330. So that has a higher margin, gross margin, than the appliances we had shipped previously. And as we look through the year, we will have another doubling of that capacity for the 5330 coming later in the year. So there's a lot of opportunity to improve the margins in our appliances business with the greater shift in mix to the 5330 and moving up to the higher capacity later this year.
Fatima Aslam Boolani - UBS Securities LLC: And the last one from me, if I could. The content subscription line declined much less, and it's sort of turning the corner, it seems like, at a minus 1% year-on-year on a constant currency basis. I'm wondering if there was any particular areas within the three buckets, so content, subscription, maintenance that were particularly helpful there, and sort of when we can kind of start seeing growth in that revenue line? And that's it for me. Thank you.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: I would say nothing particular other than a general strength and improvement in our renewals activity and in our renewals business.
Operator: We'll go next to Pat Walravens with JMP Securities.
Pat D. Walravens - JMP Securities LLC: Great. Thank you. I was hoping we could drill down a little bit more on some of the changes that you plan for Consumer Security? I heard you mention optimizing pricing, and I thought I heard about the new distribution channels. So would love some details there.
Michael A. Brown - President, Chief Executive Officer & Director: Pat, we really couldn't hear the question. Would you mind repeating it? You're cutting in and out.
Pat D. Walravens - JMP Securities LLC: Could you explain in more detail some of the changes you plan for Consumer Security around optimizing prices and new distribution channels?
Michael A. Brown - President, Chief Executive Officer & Director: Oh, sure. Okay, great. Yeah, so one of the things that we're doing as we've streamlined the product line to one single subscription offering is now thinking about some merchandising or different segmentation of that. So it's still the same basic product, which means we get a lot of cost efficiency there, but having a premium capability allows us to offer more for the customers who want more. So the premium offering has MSRP of $89.99. That allows you to protect up to 10 devices, includes parental controls and online backup. So that's a lot more capability than what you get with the basic Norton Security. All of the offerings will have the same level of enterprise-grade security provided to the consumer. So that's what we're doing on the premium offering. In addition to that, obviously we're focused on the Norton business and improving our online customer acquisition. So there's a lot of A/B testing going on there, looking at keywords and other things to make sure that we're making the most of acquiring online customers. We talked about the migration to the subscription service. That's something that started in the – in North America with the December quarter. We just announced the subscription and started launching that basically in the month of September. So that just started. So everyone in North America will be on a subscription service as we lap that by four quarters. We're just now launching that internationally. So that's happening now in the April to June period internationally and, of course, that will take us another year to get everyone on a subscription service internationally. In addition, the distribution partnerships, we have partnerships today with Comcast, Deutsche Telekom, and SoftBank in Japan, so covering some of the major regions. We're looking at whether we can expand distribution through additional partnerships. And, in fact, one that we just added is a company, América Móvil, one of the largest carriers in Latin America. They have several hundred million customers in Latin America, which we would have not been able to access before through a partnership like this. So we're pretty excited about what these partnerships can bring to the Norton business going forward. So a lot's happening in Norton besides just the focus on margin.
Pat D. Walravens - JMP Securities LLC: Yeah, great. Thank you. That's very helpful.
Operator: We'll go next to Steve Ashley with Robert W. Baird.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Terrific. I was going to ask about your channel program, and maybe we could just get an update on how things are going there and registration activity and just an update?
Michael A. Brown - President, Chief Executive Officer & Director: Well, I'd say that's really following the progress of the separation. So the channel – we found very few channel partners that really were crossing both Enterprise Security as well as our Veritas business. So the focus that we've achieved there, I think, has gotten a number of partners excited. Many of them attended our sales conferences that we just had. We just saw some interesting data from the channel saying Symantec continues to be the most recognized brand in terms of protecting customers for cyber threats, which we saw was an interesting bit of data. It gives us encouragement that, as we go forward, the channel still a very important part of our business and still very much believing that Symantec is the best supplier for them. As we talked about in previous calls, we have a new channel program, which is very much in place giving the channel better economics for getting certified in key product lines. So as that has occurred, their opportunity to get better economics from us as they focus on our products and learn more about them works both ways. We expect that to be able to help us build our volume as well as provide better economics for them as they get certified. So I'd say, overall, we feel very good about where our channel program is and the enthusiasm we're seeing from the channel.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Great. That's it for me. Thanks.
Helyn Corcos - Vice President-Investor Relations: So, operator, we're ready for our last question.
Operator: We'll take our last question from Aaron Schwartz with Macquarie.
Aaron Schwartz - Macquarie Capital (USA), Inc.: Hi. Good afternoon. Thanks for squeezing me in. A question on the large transaction; you saw very good growth there. And if we just try to look at the constant currency revenue growth within Enterprise, it seemed that there was an offset on – from between the two. I don't know if you can provide any color on just the billings in your Enterprise business maybe to better reconcile what's going on with the large deal flow.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Yeah, so, of course, we have a couple of moving parts. I think the momentum we saw on larger and big deals is just a recognition of what is happening in the market space from a threat perspective. It was very targeted around the verticals that you would think are under attack, financial sectors, the government, and healthcare. And it was compensated in part by product mix effect from businesses that we have covered – or Mike has covered previously and that tracked a bit on the overall Enterprise Security business momentum.
Aaron Schwartz - Macquarie Capital (USA), Inc.: Okay. Is there any way, I don't know if you can, but – because it seems like from the growth in the large deals, we would have expected maybe stronger billings on just the Enterprise business, excluding the Consumer. I don't know if you can quantify where the Enterprise billings were versus the overall 2% billings growth or not, just to try to better understand those moving pieces?
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: I don't really want to get into commenting on billings on a segment level at this point in time. We had a lot of moving parts. I think that is fair to say. And as I said before, the momentum we saw on the large deals was compensated by other product mix movements.
Aaron Schwartz - Macquarie Capital (USA), Inc.: Okay.
Michael A. Brown - President, Chief Executive Officer & Director: But I think you could say that some of the big deal momentum we saw was also driven by our appliances business. So I'd say without providing the detail by segment that Thomas talked about you'd see the momentum both – across the Enterprise business, so both Veritas and Symantec.
Aaron Schwartz - Macquarie Capital (USA), Inc.: Okay, fair enough. And a quick second, if I could. Thomas, on the Enterprise Security subscription services that you announced there's been a number of new launches here. Are those billed monthly or annually? Or how should we think about those coming out of the balance sheet? Thank you.
Thomas J. Seifert - Chief Financial Officer & Executive Vice President: Very good question. Most of them are billed annually.
Aaron Schwartz - Macquarie Capital (USA), Inc.: Okay, terrific. Thank you very much.
Operator: That concludes our question-and-answer session. I'd like to turn the conference back to our speakers for any additional or closing remarks.
Michael A. Brown - President, Chief Executive Officer & Director: Thank you very much for joining us this afternoon.